Operator: Greetings, and welcome to the Sterling Infrastructure Second Quarter 2023 Conference Call and Webcast. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Noelle Dilts, Vice President of Investor Relations and Corporate Strategy. Thank you. You may begin.
Noelle Dilts: Thank you, Jesse. Good morning to everyone joining us, and welcome to Sterling Infrastructure's 2023 Second Quarter Earnings Conference Call and Webcast. I'm pleased to be here today to discuss our second quarter results with Joe Cutillo, Sterling's Chief Executive Officer; and Ron Ballschmiede, Sterling's Chief Financial Officer. Joe will open the call with an overview of the company and its performance in the quarter. Ron will follow that up with a detailed discussion of our financial results, after which Joe will provide a market and full year outlook. Then we will open the call up for questions. As a reminder, there are accompanying slides on the Investor Relations section of our website.  Before turning the call over to Joe, I'll read the safe harbor statement. Some discussions made today may include forward-looking statements. Actual results could differ materially from the statements made today. Please refer to Sterling's most recent 10-K and 10-Q filings for a more complete description of risk factors that could affect these projections and assumptions. The company assumes no obligation to update forward-looking statements as a result of new information, future events or otherwise.  Please also note that management may reference EBITDA, adjusted EBITDA, adjusted net income or adjusted earnings per share on this call, which are all financial measures not recognized under U.S. GAAP. As required by SEC rules and regulations, these non-GAAP financial measures are reconciled to their most comparable GAAP financial measures in our earnings release issued yesterday afternoon.  I'll now turn the call over to our CEO, Joe Cutillo.
Joseph Cutillo: Thanks, Noelle. Good morning, everyone, and thank you for joining Sterling's Second Quarter 2023 Earnings Call. It's a fantastic time to be part of the Sterling team. While we started this journey to transform our company 7 years ago, we sought to build a diversified infrastructure solutions business that consistently delivered bottom line growth and strong cash flow. Our results in the second quarter reflect how far we've come.  Put it simply, we had a great quarter. We delivered revenue growth across each of our segments to drive a 13% year-over-year increase in total revenue, which reflects 11% organic growth and 2% acquired growth. More important, each of our segments generated significant operating profit improvements to drive an operating income growth of 37%. Cash flow was exceptionally strong in the quarter, and our balance sheet is in great shape. And finally, our combined backlog grew 42% from year-end 2022 to reach a new record level. These results would not have been possible without the hard work and dedication of our Sterling team. Their drive and entrepreneurial spirit enables us to consistently outperform and serve the customer better than our competition.  While we're pleased with our progress, there is still a lot more opportunity ahead of us. As we continue to grow the business both organically and through M&A, we remain committed to our guiding principles, The Sterling Way, which remind us of our duty to continuously improve how we protect our people, our environment and give back to our communities, all we're working to build America's infrastructure. Moving to our financials. In E-Infrastructure, which is our largest segment and represents half of our sales, we delivered just over 11% top line growth and 250 basis points of operating margin expansion to drive 32% operating income growth. Our revenue growth in the quarter was driven by continued strength and activity related to high-value advanced manufacturing projects and data centers. On the profitability front, as supply chains have eased, we have been able to recapture the inefficiencies that impacted our margins during COVID. Additionally, we are seeing a mix benefit as our large project work picks up. Looking at our E-Infrastructure verticals in more detail, on the advanced manufacturing front, we ramped up activity on our previously announced Hyundai and Rivian projects in the quarter. These projects are progressing very well. Additionally, 2 weeks ago, we announced that we have been awarded the next phase of the Hyundai project, which contributed to our record E-Infrastructure bookings in the quarter of $424 million. Data center activity remains strong as our customers push to manage increasing data demand and the evolving needs of AI. Bookings in this market also contributed to our strong backlog growth in the quarter. Activity in e-commerce distribution centers has stabilized at lower levels relative to last year. We expect activity to remain roughly at current levels through 2024 and rebounding in 2025.  In Transportation Solutions, we delivered a 5.9% revenue growth and operating margin expansion of 130 basis points, which drove a 33% growth in operating income. Operating margins reached a new high of 6.5%. Our laser focus on improving margins, coupled with the strong activity associated with the infrastructure build are enabling us to meet our margin thresholds and grow the business. We believe we will continue to see growth in both margins and revenue in this segment as we go forward. Notably, aviation bid activity, which had been slow to release picked up significantly in the quarter. As a result, we had some nice awards in the quarter and anticipate more to come in the second half of the year. In Building Solutions, we grew revenue nearly 30% in total and over 16% on an organic basis. We expanded operating margin by 70 basis points to drive an operating income growth of 38%. Our residential revenue increased over 21% in the quarter as we set new records in each of our geographies for both the number of slabs poured and revenue generated. Our commercial revenue increased nearly 50%, reflecting strong market demand and more attractive margins. The increase in our second quarter Building Solutions operating profit was driven by the recovery in residential volume, improved mix within commercial and better margins across both. In our -- in view of our strong first half results, record backlog position and excellent execution, we are raising our full year guidance. The midpoint of our increased guidance would represent a 13% increase in revenue and 32% increase in net income relative to 2022 levels. With that, I'd like to turn it over to Ron to give you more details on the quarter. Ron?
Ronald Ballschmiede: Thanks, Joe, and good morning. I am pleased to discuss our outstanding and record second quarter performance. Let me take you through our financial highlights, starting with our backlog metrics. At the end of the quarter, our backlog totaled a record $1.769 billion, up $321 million from the beginning of the year. The gross margin of this backlog was 15.5%, a 120 basis point improvement over the beginning of the year. The 15.5% backlog margin represents the highest in our history. The higher proportion of E-Infrastructure backlog and increased Transportation backlog margins drove this improvement. Unsigned Awards at June 30, 2023, totaled $657 million. As you may recall, substantially all of our Unsigned Awards relate to Transportation Solutions. We expect to have these multiyear projects move into backlog by the end of the year. We finished the quarter with record combined backlog of $2.393 billion, a $704 million increase from the beginning of the year. Our gross profit in combined backlog was 14.7%, an increase of 50 basis points from the beginning of the year, another historical high watermark. Our current book-to-burn ratios were 1.2x for backlog and 2.4x for combined backlog. Revenue for the quarter was $522 million, up $61 million over the 2022 quarter. As a result of strong backlog and opportunities across our markets, our updated and increased full year revenue guidance is now $1.95 billion to $2.05 billion. Moving to our second quarter income statement. Our current quarter E-Infrastructure revenues were $260 million, a $27 million increase over the prior year period. The E-Infrastructure revenue growth of 11% reflects a continuing strong market demands. The aforementioned revenue growth was partially offset by lower volume from our large e-commerce distribution centers. Transportation revenues were $151 million in the quarter, an increase of $8 million or 6% over the comparable 2022 quarter. The revenue in the Transportation backlog growth were attributable to a number of federal, state and local infrastructure investment programs. Building Solutions revenues were $111 million in the quarter compared to $86 million in the prior year period. The 30% growth was driven by both residential and commercial activities with revenue growth of 21% and 50%, respectively. Approximately $11 million of our current quarter residential growth was attributable to the Arizona Concrete Foundation business, which we acquired in late 2022. Consolidated gross profit was $92 million in the quarter, an increase of $21 million over the '22 period. Gross margins increased to an all-time high of 17.7% or a 230 basis points over the 2022 quarter. The consolidated margin reflects margin improvements in each of our 3 segments. The key driver of the increased margins include the progress on the recovery from previously experienced supply chain challenges and operating leverages from increased demands for each of our segments. General and administrative expense was $24 million for the quarter, an increase of $3 million when compared to the same quarter of last year. The increase was driven by general inflation, increased revenue-related costs and G&A related to the late 2022 Arizona slab business. The continued -- we continue to expect our full year G&A expense to be approximately 5% of revenues. Operating income for the quarter was $60 million, an increase from $44 million in the prior year quarter. Our current year operating margins increased 11.5%, the highest in Sterling's history. Operating margins in the prior year quarter were 9.5%. Our effective income tax rate for the second quarter was 26.5% and our tax rate benefit from increased tax deductions related to our stock-based compensation. We expect our full year of 2023 effective income tax rate to be approximately 27%. The net effect of all these items resulted in a record second quarter net income of $39.5 million or $1.27 per share. With our strong performance in the first half of 2023 and the strength of each of our key markets, we have increased our full year 2023 net income guidance to $125 million to $131 million. Our EPS guidance is now $4 to $4.20 per share from our prior EPS range of $3.33 to $3.53 per share. Both midpoint net income and EPS guidance reflect an increase of 20% over our prior guidance. EBITDA for the quarter totaled $73.5 million, an increase of 29% over the prior year quarter. As a percent of revenues, EBITDA improved to 14.1% and up from 12.3% in the prior year quarter. Our 2023 EBITDA guidance is now $250 million to $260 million from our initial 2023 range of $220 million to $235 million. Our equivalents increased by $97 million from the beginning of 2023 to $278 million at June 30 of 2023. Cash flow from operations -- operating activities for the first 6 months of '23, with a very strong $181 million compared to $42 million in the prior year period. The operating cash flow improvement was driven by significant organic growth of each segment as well as favorable improvements in our working capital. Cash used in investing activities was $16.3 million for the first 6 months of 2023 compared to $31 million for the 2022 period. The decrease was driven by the timing of net capital expenditures, offset by the first quarter receipt of $14 million from the late 2022 Myers divestiture. We continue to expect our full year net capital expenditures to be $55 million to $60 million, reflecting the strong organic growth of our E-Infrastructure Solutions segment. Cash flow from our financing activities was $72 million outflow for the 6 months of 2023, primarily from debt repayments of $68 million. The debt reduction included voluntary early debt repayments of $53 million. Considering the diversity and our strength of our portfolio of businesses, our strong liquidity position and our very comfortable EBITDA leverage, we are well prepared to take the advantage of additional opportunity in 2023 and beyond. Now I'll turn the call back to Joe.
Joseph Cutillo: Thanks, Ron. As we look forward, we are confident in our ability to drive sustained profitable growth and create value for our shareholders. We see years of opportunity ahead of us as we work to build America's infrastructure. We are a key partner in building the manufacturing plants that are bringing production back to the U.S., the data infrastructure that enables today's way of life, the highways, the bridges and the airports that connect us in the homes we live in. We expect E-Infrastructure Solutions will remain our fastest growing, highest margin segment for the next several years. We continue to see a robust pipeline of large manufacturing projects tied to renewable, battery and other next-gen manufacturing. These onshoring related opportunities are emerging faster than we anticipated and are larger than we've ever imagined. Data center activity is poised to accelerate even further as data demand continues to surge. We believe current market trends, coupled with our proven capabilities, will continue to deliver strong double-digit organic growth over a multiyear period. In Transportation Solutions, we think we are now in a market environment that will continue to provide opportunities for both growth and margin expansion. As margin opportunities improve, we will accelerate our growth. In Building Solutions, the lack of secondary market homes is helping us on both the residential and commercial fronts. We continue to see strong residential activity in all 3 of our markets, and our core customers remain very bullish on the remainder of the year. On the commercial front, multifamily starts continue to grow, and we are encouraged by the improved margin opportunities that we are seeing. We are proud of how far we've come, but even more excited about the opportunity ahead of us associated with the build-out of U.S. infrastructure over the next 3 to 5 years. Given the current trends in our markets and the excellent execution, we anticipate a strong finish to the year and are confident in our ability to deliver within the guidance ranges we have provided. With our backlog and visibility, we are well positioned for 2024 and already thinking about 2025. With that, I'd like to turn it over for questions.
Operator: [Operator Instructions]. Our first question is coming from the line of Jean Ramirez with D.A. Davidson.
Jean Ramirez: This is Jean Ramirez for Brent Thielman. Congrats on the quarter, by the way.
Joseph Cutillo: Thank you very much. We had a great quarter. It's nice.
Jean Ramirez: Yes. I'll start with a 2-part question. Looking at Building Solutions, can the business sustain higher margins with potential inflation costs come in, in the second half? And are there any thoughts on expanding Building Solutions beyond its current market?
Joseph Cutillo: Yes. We think we can continue to maintain the margins as we go forward. We'll continue to see some price increases on the concrete side in the back half of the year, at least we anticipate that. But we believe we can continue to maintain those margins. On the expansion front, we're really looking at two different opportunities. The nice thing before we expand between the low market share we have in both Houston and Phoenix, candidly, we can double that business with those 2 markets alone. So we've got some really nice runway within the existing markets we're in. If we look at where we go next, really two different potentials. One is adding more vertical kind of capabilities within the portfolio that we have. We continue to look at plumbing and and electrical and some other areas like that within the footprint or geographies that we're in. And then down the road, the next logical market for us would be somewhere in Florida, probably Central Florida would be a logical place for us to expand. But right now, we've got so much opportunity ahead of us within the markets that we're in, candidly. We haven't even begun going beyond kind of just the market data for the Florida market.
Jean Ramirez: And pivoting to . How much more is the company seeing on data centers now within the segment? And you talked a little bit about e-commerce. Are you seeing any distribution/warehouse activity picking up? Or is that being impacted by this end market?
Joseph Cutillo: Well, let's start with that one. We see good activity with -- still in e-commerce distribution. The big difference between last year and this year, normally, we would have 4 to 6 Amazon -- big Amazon projects going at any given time. Right now, we have 1. And it's one in the Northeast, and it's the only one on the East Coast, [indiscernible] it's happening. But the rest of the market stays -- has remained very stable and very consistent. So we've seen a transition from Amazon to some other customers. Based on our conversations with Amazon and their strategic planning, we believe that picks back up significantly in 2025. So that market hasn't gone away. It's just you've got one big behemoth that is not producing like it used to, and they are a major customer of ours. On the data center activity, we still see data center activity extremely strong, if anything, picking up more as we see more speculative warehouses coming online, data centers. Yes, I'm sorry. I said warehouses -- speculative data centers coming online to offset. What we believe is happening is the demand is outpacing the big guy's capital budgets and planning budgets. So what they're doing is speculative warehouses are coming online. They're leasing those spaces and have kind of a lease buy program in place. So we're seeing strong activity from the majors, but also from the speculative which are a little bit smaller warehouses in general, but still very good data centers. I keep saying warehouses. I need one more coffee this morning.
Jean Ramirez: No problem. And then if you don't mind, sticking with the infrastructure, do you need to make more significant investments in equipment when you're tackling this growth in data centers. We just want to understand the revenue potential for the business considering this market backdrop along with what you've actually been able to perform with the people and equipment you have today.
Joseph Cutillo: Yes. I think the great thing is 12 to 18 months ago, I would have told you equipment was an issue because of availability. It's readily available now in the market. So we can buy it, we can lease it. We can even rent some of the big stuff. So equipment is not a concern. We're going to stay within our guidance on capital. It's at $55 million to $60 million in total for the year, and we can support the growth that we have in front of us and feel very good about where we're positioned.
Operator: Our next question is coming from the line of Sean Eastman with KeyBanc Capital Markets.
Alexander Dwyer: This is Alex on for Sean this morning. Congrats on the quarter.
Unidentified Company Representative: Thank you.
Alexander Dwyer: So I wanted to start on the guidance raise. It kind of implies a much higher second half outlook than the street was modeling. Can you just talk about what the biggest changes were in the second half outlook relative to the last guide? It kind of sounds like the margins are coming through stronger. And then secondly, if there's any like major swing factors you would point out in the range, like what could drive you to the high end versus the low end?
Joseph Cutillo: Yes. I'll start at 50,000 feet and let Ron get into the details. I think you're right on. A couple of things. We've talked about the margin impact of the supply chain really across all of our businesses with the exception of less in Transportation, but big on both residential and E-Infrastructure. We've talked all along, we thought that would come back in the second half of this year and into next year. The good news is it's coming back a little quicker than we anticipated. So we have that tailwind on top of the great market tailwinds that we picked up in the first quarter, especially in E-Infrastructure, we never anticipated the amount of advanced manufacturing projects and the size to go through the year. So they have kicked off. They're running well. We've got better line of sight to the impact of that for the rest of the year and we have better line of sight of what our margin clawback rate is. And then on top of it, the residential market has rebounded very quickly on both margins and volume. We've seen nice margin improvements in the commercial business that we haven't seen historically. That was -- that's kind of a pleasant end to what we're doing. And then as we've said all along, we thought we had 200 basis points of margin to continue to pick up in Transportation, and we thought that would take 12 to 18 months. The good news is we're picking that up faster than we anticipated, and we still think we've got plenty of runway there. So it's the tailwinds of the market plus the more rapid pickup of margin improvement plowing back some of the inefficiencies and supply chain issues that we had. [indiscernible] talk about more detail.
Ronald Ballschmiede: Sure. A couple of things. So I neglected to mention in my opening comments that we have updated our [indiscernible] considerations in our website package. So in there, you'll see that our growth margin expectations for the year are 16% to 17% and really, that's the key number towards the bottom line that we've talked about earlier today. The reality is in our big -- in our project [indiscernible] businesses, specifically the Transportation group and the large projects within E-Infrastructure, the second half is pretty much locked in, frankly. What we're selling today and what's in our combined backlog, that's really 2024 and beyond, which is great. We have -- it's been probably 2 years or 3 years since we've had that many large in excess of $50 million and up to [indiscernible] million projects. And as you saw in the huge growth in the Unsigned, we expect that to really help us in 2024 and forward. So I think when you go through that and you say, okay, you got those 2 kind of segments pretty much locked in with kind of growth consistent with the first 6 months, another -- back 6 months looks as healthy as that, maybe a little bit better on the margin side than in the second quarter. But I think that's -- that leaves the residential and commercial business and , it's been highly volatile in the last 12 months probably. But certainly, what we've seen in -- thus far [indiscernible] July is a very healthy runway for us for not only residential, but probably the best commercial side that we've had since we acquired them in 2017. So pretty much locked in on 2023, I think, at this point in time. If the world [indiscernible] go crazy on us, which it has in the past, but that's what we believe what our scope looks like today.
Alexander Dwyer: Very helpful. And then my next question, the cash flow in the first half has been a lot stronger than we expected. It's well above that operating income proxy you guys always provide. Like how do we think about cash flow into the back half of the year? Was there some pull forward into the first half? Should we expect some reversion to the mean over the coming quarters? Just any color there would be helpful.
Ronald Ballschmiede: Sure. As I've talked about before, it's one of our more difficult things to predict. But [indiscernible] sitting here and trying to explain why our front half was so slow and really kind of backed off the full year only to crush it in the back half. So certainly, we saw that in the front part of this year. Some of that is as we -- when you watch large projects, it's crossed all of our entities with the exception of residential, which doesn't have large projects. The start-up is very cash positive to us. So we're seeing a little bit of that in both our Transportation and our E-Infrastructure group. That certainly helped our working capital numbers. And I think we'll have a slower -- year comparison-wise, slower 6 months than we did last year in the future, the back half of the year. That's just timing and everything else. So I'm not backing off at all from -- we will generate some more cash flow from ops. But I'll just say third -- second quarter was incredibly good, and we expect it to be good for the balance of the year. But it's hard to beat that one [indiscernible] multiple times operating income. That's a good thing -- that's a good problem to have.
Alexander Dwyer: Got it. And then just one more question, if I can. Transportation, 6% growth in the quarter. It looks like the comps get a lot easier for the remainder of the year. You have these design-build projects ramping and IIJA is still strong. Like you guys have always said this is a low single-digit growth business, but am I wrong to assume that growth over the next 12 months can outpace this pretty easily?
Joseph Cutillo: Well, here's what I would say. The market right now, I just got the numbers yesterday for the 2024 budget is up about 14% total federal spend. So we're obviously not growing anywhere near that. But what we've said is focus on margins and when margins get to a certain point of strong double digits, then we'll grow revenue. I would tell you our margins are in those strong double digits, and we will grow revenue a little more than we have historically. But I don't see it going -- we're not going to go from 5% to 10%. I think we're going to stay more around that 5% growth rate. But we're opportunists if the right projects come along, and we think we can have those very strong margins and it drives it up more, we'll take advantage of it. I think the great thing to keep in mind is -- and Ron touched upon this, is we really need to hit this home. We're locked and loaded for 2023. Everything we're working on right now is '24 and '25. And we're in a very good position on the Transportation side in '24 already with the backlog and the projects that we have in place. We'll still take more for '24, don't get me wrong. But we're in the best position we've had at this time of year already looking at the next year and going forward. And I will tell you there are several very nice projects on the horizon of which we would hope to win something out of those, not all of them into the back -- in the back half of the year for Transportation.
Ronald Ballschmiede: And I'd add one more thing. I think the -- for both E-Infrastructure and for Transportation, the length of our backlog is probably at an all-time high. We used to say that E-Infrastructure was probably a 9-month forward-looking items and Transportation was around a year and a quarter. Those numbers are going to be significantly long at the same time just because of the size of the projects is growing quickly, both in e-commerce and in [indiscernible]. So that's one of the reasons that we feel so good about going into 2024.
Operator: Our next question is coming from the line of Brian Russo with Sidoti.
Brian Russo: If you could just elaborate on the mix of projects within your E-Infrastructure segment that allowed you to report such high margins? And kind of when we look at the backlog or even into 2024, is the mix just getting better so that these margins are sustainable? If not, there's potentially upside there?
Joseph Cutillo: Yes. Well, I think there's 2 pieces to the margin that we need to consider. The first is that we lost, we believe, 200 basis points during COVID due to supply chain inefficiencies as a combination of pricing and the inefficiencies that would cause on the jobs. In the quarter, we back pretty much all of that, right? So that's a big, big movement for us. And then we pick up a little bit with mix. However, as we look forward, the bigger the projects in this segment unlike other segments, the bigger the projects here, generally the better the margins for us and the better leverage we get out of assets. So as we see these large onshoring of manufacturing jobs in these multiyear campuses for data centers that keep getting bigger and bigger, they certainly help us on the long-term trajectory of the margin. But I would tell you, one of the biggest pieces in the quarter was really getting back, getting into the next level of contracts with new pricing and getting some of the supply chain issues out of the way to pick up some of the efficiencies on the jobs.
Ronald Ballschmiede: Yes. I would add, I think when you look at our backlog in a footnote, which compared at the beginning of the year to, obviously, June 30, the big increase is in the E-Infrastructure side. And I would say that while there's been lots of ups and downs, the majority of that -- that 50% increase in backlog, the majority of that is the onshoring and [indiscernible] manufacturing side. And of course, those projects are large and heavy similar to data centers, a long duration, which helps us a lot. Transportation in that same period is up a little bit, pretty flat, but I don't believe we've ever had almost [indiscernible] million of unsigned work. So that work is -- several large jobs, which will -- which by their very nature, very lumpy. So the good news is we have those works. I mean the better news is we're going to be starting filling in our revenue driving numbers in 2024 or 2025.
Brian Russo: Okay. Great. And then just a follow-up on Transportation. It seems like this is the first quarter year-over-year that you've actually had positive top line growth in the segment, probably since before 2021. And I'm just curious, is the higher risk or lower margin projects that you were looking to complete, I mean, are we past that? And so 5.9% year-over-year increase in June, it could be even better than that. Just curious what we might expect going forward?
Joseph Cutillo: Yes. I mean we're out of historical stuff. We really are. The fundamental difference is that we have said our focus on Transportation is driving margin growth, right? We have way too low margins, way too high risk profile that's taken us several years to do. That focus, coupled with the market dynamics that are taking place, pricing is going up, capacity is full with a lot of places, is enabling us to -- we have a very solid threshold of what we allow to take jobs at. If they go over that threshold, we'll take on more jobs. We're at that point where it's over the threshold. We think we can still get more margin. Don't get me wrong with the combination of what we're driving for productivity. But also keep in mind that the first half of this year was very slow on the aviation bid activity. We saw that pick up significantly in the second quarter and we think there's some very nice jobs in the back half of the year that we have opportunities on, which will move that margin again. So we think we have margin expansion and growth expansion now if the market is delivering projects above that threshold that we're willing to go after.
Ronald Ballschmiede: And I would add, I think you've never done shifting the mix to higher-margin work. But I think from a hard bid side, we have that to the point where we're doing hard bid work that we want at this point in time. In other words, there's some strategic benefit in it from either a gross margin standpoint or a follow-on work. And that's really what it's made up of today. So we're not -- we don't have any -- our bad list is almost empty, never empty total, but there's nothing in there that is residue from chasing work -- chasing low-margin work because we needed the work. We just don't have those projects anymore. That's the major reason why that mix changes happened with moving to design-build and other alternative delivery work, particularly in the Rocky Mountain and west side of our territories.
Operator: We have reached the end of our question-and-answer session. I would like to turn the floor back over to Mr. Cutillo for any additional concluding remarks.
Joseph Cutillo: Thank you, Jesse. Thanks again, everyone, for joining our call today. If you have any follow-up questions or wish to schedule a call, please feel free to contact Noelle Dilts. Her contact info can be found on our press release. I want to thank everybody for taking the time this morning and all our employees that are on the phone. Have a great day.
Operator: Ladies and gentlemen, this does conclude today's teleconference and webcast. We thank you for your participation, and you may disconnect at this time.